Operator: Good day everyone and welcome to the Envestnet Conference. As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Pete D'Arrigo, Chief Financial Officer, please go ahead sir.
Pete D'Arrigo: Thank you, operator and good morning everyone. With me on today's call is Jud Bergman, Chairman and Chief Executive Officer of Envestnet and Anil Arora the Chairman and Chief Executive Officer of Yodlee. Today's call will provide an update on our announced acquisition of Yodlee. The presentation and associated Form 8-K can be found at Envestnet.com under the Investor Relations section. During this conference call we will be discussing certain non-GAAP information, including adjusted revenues, adjusted EBITDA, adjusted net income, and adjusted net income per share. This information is not calculated in accordance with GAAP and may be calculated differently than other companies similarly titled Non-GAAP Information. We will also be discussing certain forward-looking information. These discussions are not guarantees of future performance and therefore you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause them to differ materially from what we expect. This call is being webcast live and will be available for replay for one month on our Web site. All remarks made during the call are current at the time of the call and will not be updated to reflect subsequent material developments. We will take questions after our prepared remarks. And with that I will turn the call over to Jud.
Jud Bergman: Thank you Pete, good morning. I want to thank everyone for joining us. It has been six weeks since our second quarter earnings call and announcement of our planned acquisition of Yodlee. Today, we want to discuss the size and nature of additional product offerings and addressable markets that the business combination enables in the longer term and also discuss shorter term metrics, including expected 2016 fourth quarter run rates for Yodlee's revenue and EBITDA inclusive of initial synergies. On our third quarter earnings call in early November, we expect to provide preliminary 2016 guidance for the combined company. Our prepared remarks will follow the presentation we published this morning. I would like to start by reviewing our core business. Our core business growth strategy capitalizes on several long-term industry trends that continue to be valid and strong. First, the trend away from commissions and towards fee-based business continues, and yet in 2015 there are still more commission-based assets than there are fee-based assets for high net worth and affluent investors. Second, the ever increasing adoption of technology on the part of advisors is fueled largely by the productivity gains that accrue to advisors who leverage unified technology. As we've indicated, we've commissioned a study by ITEI that found that advisors who leverage whole unified technology grow their fee-based practices at over two times the rate that advisors who don’t, and then there is the move away from captive channels towards independent channels. Envestnet is empowering these trends and benefitting these trends, and we see most fine of these structural trends slowing down. We have a demonstrated history of making sound strategic decisions to create value for our shareholders, and we have demonstrated growth through growing and the declining market cycles. Though the longer term trends remain unchanged, cyclical market trends do affect our business in the short run, and this year we have seen a slowdown in our advisor account growth and flows into newly created investment accounts. This is a trend that has affected all firms in the industry and is not unique to our business, and it has in turn impacted one of our key metric growth and accounts per productive advisor leveraging our system, but the structural growth trend is strong and we see continued strength in the short-term and long-term for growth in new enterprises, new enterprise conversions, and growth in new advisors. Referring to Slide 6, from our inception we have been thoughtful and intentional about our core strategies. Our track-record shows that we have made the right choices at various inflection points in our history, and this has benefited our business, our advisors, and our investors. In 2000, we had the first Web-based platform for fee-based advisors. This was before the Web was even called the cloud, but had it been called the cloud, then we would have been the first cloud-based wealth management platform supporting fee-based advisors. In 2005, we rolled out the first integrated advisor as portfolio manager tools leading the industry there. In 2007, we made the strategic decision to unbundle our asset management services from the enabling technology that we offered seeking to gain as many advisor or doctors of technology as possible and that's a choice that is still playing out beneficially to advisors, our firm, and our investors. In 2012, we acquired Tamarac and shortly thereafter Tamarac rolled out the first integrated CRM rebalancing and performance reporting software for registered investment advisors, who act as portfolio managers. At that time, we paid $54 million in gross purchase price, $48 million in net purchase price for a business that was generating $9.6 million in revenue. To some, a multiple of over five times revenue seemed high, to us we saw the potential of new channels, cross sells, and new product offerings, and we believe that it was a prudent financial transaction and the right strategic decision. A little over three years later, the Tamarac business is generating about $50 million of recurring run rate licensed revenue and that purchase price seems to be very different of one effective one multiple versus what it is was just over three years ago. Slide 7 indicates our view of what the wealth management technology of the future will look like in supporting the advisor of the future. We are building a business to empower the advisor of the future and look to be the leader in wealth management technology and services. The advisor of the future will be able to efficiently on-board and serve a variety of investors. Some who don’t meet their minimums today, some who want a deeply digitized experience with an advisor in the middle able to deliver all the tools and the support that the financial advisor of the future needs deeply integrating all the mission critical apps for advisors. We imagined a unified technology that fortifies the wealth management process and a convergence of digital technology in the hands of an expert user delivering better outcomes. Some of you remember it's been 20 years since perhaps the greatest chess player of all time Garry Kasparov faced off against Deep Blue and the team of programmers. At the time, he beat Deep Blue in 1995, in 1996 Deep blue and the team of programmers beat Gary Kasparov. In these 20 years, it has not been as originally heroic machine beating human. The best outcomes continue in that world of chess with the best computers, the best programming earning the best chess masters. Not all advisors will reach master level, but technology can help even the most basic advisor deliver better outcomes to their end clients, and we imagined a world where the participants in a 401(k) plan for a new prospect for an advisor aggregates data and that aggregated data provides a more holistic picture of the prospects for the clients, with the participants’ financial picture enabling the advisor to do a better job with financial planning, enabling that advisor to do a better job with investment planning, and speeding and streamlining the on-boarding process delivering better outcomes at every step through that process. Because data aggregation is so essential, we deemed it mission-critical to acquire Yodlee, and I would like to turn it over to Anil Arora, Yodlee’s CEO for a description of the core business of Yodlee.
Anil Arora: Thank you, Jud. That’s a powerful vision that resonates strongly with me. I am personally very excited to be part of the team pursuing this opportunity. At Yodlee, we’ve also seen dramatic industry transformation over the last decade and how technology is accelerating change, and we have been consistently innovating to capitalize on this opportunity. As a result today, we are the leader in data aggregation as well as digital financial services. Let me summarize our capabilities and position on one slide, Slide 8. Starting with the top left of this visual, Yodlee’s core capability is aggregating data across 14,000 financial institutions, hundreds of thousands of account sites to provide a holistic view of account finances. We do this today for the tens of millions of users through our 900 plus customers, every transaction, every day, and the capability we have is very unique because 75 plus percent of all of our data is through direct connectivity and pipes that we have built painstakingly over the last 15 years was because Yodlee provides early network. So once we get all this data, we normalize it and we enrich it, and as you move to the middle part of the visual what we then do is we build a massively scaled cloud-based infrastructure with the highest ability of operational scale and security that no one else has been able to provide which has enabled us to become the de facto industry standard. This then allows us to deliver industry-leading technology solutions on the right hand side, such as data aggregation, personal financial management, financial wellness, financial applications, wealth application, data analytics, literally hundreds of different financial applications. And finally what all this has resulted in is a terrific position with our customers. We have 11 of the top 20 financial institutions in North America, as well as six of the top 10 investments in wealth management firms as current customers, 900 customers in total. The net of all of this is we believe that Yodlee is critical to achieving the vision for the wealth management of the future. Let me hand it back to Jud so he can show more around the strategic benefits and synergies.
Jud Bergman: Thank you, Anil. The transaction fundamentally bolsters all our current strategies for growth. Slide 9 identifies the primary strategic benefits that we expect will accrue to Envestnet as a result of this business combination. Number one as I’ve mentioned we believe data aggregation is becoming mission-critical in that it enhances the wealth advisors’ practice, enables them to go deeper into the relationships and serve them better more completely, it enhances our platform and it accelerates our key drivers of growth. We believe that it will help us win more new enterprises. We believe that it will help us speed the adoption of advisors. We believe that it will help advisors enhance the growth of their accounts per year and we believe that the product offering will offer significant revenue cross sell. The revenue cross sell opportunity is something that I would like to go a little bit more deeply into. Slide 12 identifies four initial cross-sell opportunities that we think are significant. The current aggregation product of Yodlee offered to advisors in the Envestnet ecosystem. Envestnet’s wealth management and performance reporting solutions offer to a subset of Yodlee’s current claims, data analytics and research and expanding on the international opportunities that Yodlee has already begun. We see in the aggregation services sold to advisors who are currently leveraging the Envestnet platform to have a total addressable market of about $450 million per year, that’s 300,000 North American advisors of that around $1,500 per year per advisor from bundled data aggregation, personal financial management and basic financial planning software. For the Envestnet Yodlee opportunity of 42,000 advisors, we reasonably expect to grow to 70,000 by 2020 and if everyone of those advisors were to adopt that's $100 million opportunity for investment. By 2020 we believe that 30% of those advisors are an achievable potential penetration, if we were to achieve that potential penetration that's $30 million of incremental revenue over and above where Yodlee's core business is going to grow. Envestnet solutions to Yodlee enterprise clients this is primarily performance analytics, custodial data and the reconciliation services that we are able to provide to create greater integrity in the replicated and aggregated data. We think that there's an opportunity for upsell of this services to the existing Yodlee client-base and we think that the potential penetration is around 10% of a $360 million per year Envestnet Yodlee opportunity. Data analytics and research is a huge opportunity. This is selling research and deep data analytics to investment managers and registered investment advisors who act as portfolio manager who are already in the ecosystem of the Envestnet platform the Envestnet wealth management network. We expect that even a potential penetration we believe is achievable of 25% to generate $87 million to $90 million a year in additional revenue by 2020. And we believe the international opportunities are strong as well. Potential penetration of just 10% would generate $50 million of recurring revenue. Plus this potential opportunity of $200 million of recurring revenue is not what drove our analysis. Plus to generate the required return on our capital we expect that 55 million to 60 million of this $200 million very moderate in terms of our expectations of achieving our achievable potential is what we need to generate a positive net present value on this investment to create shareholder benefits in excess of the 25% rate of return that we expect is our hurdle rate for strategic acquisitions.
Anil Arora: Jud, and if I may add some color to a couple of the cross-sell drivers you highlighted. What's striking is many of Yodlee's key customers and prospects are asking for extending Yodlee services with Envestnet capabilities. For example, extending data aggregation to include custodial data, adding reconciliation to the enrichment of the data we do, extending our applications to include performance reporting and so on and so forth. The other opportunity we're highlighting is our international business today. Yodlee has a terrific and growing international business. We are in 15 different countries. International revenues account for 15% of our overall revenues and we are powering some of the biggest financial institution, investment and wealth management entities in Canada, the United Kingdom, Australia, South Africa, India and so on. And many of these customers have reached out to us and have expressed an interest in extending some of Envestnet's capability, back to you, Jud.
Jud Bergman: Turning to Slide 13 in the published presentation. I mentioned that in 2007 we unbundled the assets under management services from our enabling technology. By unbundling the technology we reached new markets, new channels, new advisors. It's a strategic decision that we are still benefitting from. And we expect to continue to benefit from that decision for years to come. The decision to acquire Yodlee is opening up another new world of opportunities and that's all about data. I mentioned one of the sources of data monetization that we expect to see in the coming years. But frankly we believe that there are going to be opportunities that are afforded by this trove of data that we can’t even imagine today. We expect that this will add an important accelerator of growth to the combined business that will deliver opportunities and benefits to shareholders for many years to come. In leveraging the power of data analytics Yodlee is further along in this new frontier than Envestnet is. And so I'd like to hand it back again to Anil to just describe how we see this opportunity.
Anil Arora: Thanks Jud. There is no question in my mind that data analytics is the key part of the future of financial technology. And as we have seen financial products as well as technology are becoming commoditized and data insights and data analytics is where value will be created in the future. Today Yodlee has a very unique and skilled data set. We have 20 million plus users, 100 billion plus transactions, trillions in balances and what we have done is built a robust set of capabilities, infrastructure, resources, skills and solutions around investment research, marketing research, retail trends. This is the fastest growing part of our business, as we have shared with you previously. The combination of Yodlee’s data assets, with Envestnet’s data assets creates a tremendous potential to create even further value particularly with investment and wealth management data solutions and insight.
Jud Bergman: Thank you. And then just finally but also very importantly, we believe that the transaction was structured to be highly likely to create financial benefits and value accretion for our shareholders. First of all Yodlee's core business is very attractive, growing at over 20% per year in terms of top-line. We believe that Yodlee's core business is at an inflection point moving from scale to super scale and will experience expanding margin as a result of that inflection point. So we like the core offering see it as mission critical, but we also like the profile of the core business. We expect our core business to add at least 100 basis points to Envestnet’s 2016 revenue and adjusted EBITDA growth rates. We expect adjusted EPS to be accretive in 2017 and beyond. We expect adjusted EBITDA to be accretive in 2016. The business revenue model is highly visible in recurring subscription revenue. I had mentioned the operating leverage, we expect that they will be able to deliver and we expect to continue to expand profitability of Yodlee's business as we go forward. And Pete will describe to you in a moment, how deployed multiple of revenue and forward multiple of cash flow, we believe is very attractive. Pete?
Pete D'Arrigo: Thank you, Jud. Slide 16, we have some details on the transaction, which I want to show to all of it, but I didn’t want to highlight the impact that the Envestnet share price has had on the overall valuation of the transaction. At the time of the announcement the purchase price was $18.88 per Yodlee share, reflecting a gross value of approximately $660 million. Yodlee has approximately $70 million in free cash and cash equivalents and tax attributes that we value at around $60 million. None of these financial assets the enterprise value at the time of the announcement was approximately $530 million. With the value of Envestnet stock below the negotiated tower the gross value is currently approximately $600 million with an enterprise value of approximately $470 million net of the cash and tax benefits. Since the announcement, we have undertaken to accelerate the planning process for 2016 for Yodlee and on Slide 17 we are providing run rate estimates for Yodlee's revenue and EBITDA for the end of 2016. To be clear these are not estimates for 2016 calendar year performance, they are forward estimates of the run rate, we expect as we exit 2016. We expect the forward range for run rate revenue at the end of 2016 to be $153 million to $157 million and run rate EBITDA to be in the range of $26 million to $28 million. Based on the mid-points of these ranges the enterprise value based on the current transaction value and the value at announcement are in the range of 3 to 3.4 times revenue and 17.4 to 19.6 times EBITDA. These multiples compared very well with the forward multiples of other comparable SaaS companies. To summarize the financial benefits and reiterate some of the points that Jud and Anil have mentioned. Run rate has very strong recurring core growth, we expect the transaction to be accretive to adjusted EPS in 2017 and beyond, and accretive to adjusted EBITDA in 2016. Growth will be accelerated by the potential for $200 million of revenue synergies, when combined with Envestnet, which exceeds our return requirements. And finally with attractive forward multiple of 2016 exit run rates of revenue and EBITDA for the Yodlee's business based on current valuations. The last point, that we will be providing preliminary 2016 guidance for the combined company on our third quarter call, which will be in and around November. Will turn it back to Jud.
Jud Bergman: Thank you, Pete. Now to wrap up before we take questions. We believe that this business combination meets the mission critical industry needs that an end to end the unified wealth management technology must have. Yodlee's core technology is extremely scalable. The franchise provides significant cross sell revenue synergies. The combination broadens the base of accounts and data it's a trove of value for advisors and investment managers for years to come, they are one and only in this space demonstrated market leader and this business combination positions us we believe ideally to be the leading provider of unified wealth management technology and services for years to come. So with that our prepared remarks are concluded and we will open up the call for questions.
Operator: Thank you, sir. [Operator Instructions] And we will take first question from Chris Shutler from William Blair.
Chris Shutler: First, regarding the plan to sell financial planning software and account aggregation; firstly I just want to confirm that you mainly see the opportunity there selling to advisors that are not using financial planning software today or as opposed to displacing other financial software firms?
Jud Bergman: I am sorry I don’t understand your question, Chris. Say that again?
Chris Shutler: So is your plan more to sell financial planning software, so finance logics plus Yodlee to advisors that are not using that type of software today or is it more to displace the encumbrance in that market?
Jud Bergman: So in our market today, the majority of advisors do not use data aggregation and financial planning software. We have deeply integrated with eMoney and we expect to integrate deeply with MoneyGuidePro as well, our business is to provide choice to advisors and to unify that experience. But our plan is to sell a variety of packages where data aggregation is combined with at the very basic level personal financial management software and then engraves retirement software, retirement plus education, and life event software while full trust, [indiscernible] and tax planning capabilities. That’s why there is a range of expected outcomes commoditizing this cross-sell from $500 per year, per advisor, which is just basic data aggregation to as high as $2,500 per year, per advisor for everything. So we’re expecting to have this be primarily a Greenfield opportunity. We expect that there would be growing adoption of data aggregation plus financial planning, and if that financial planning can be something that is Envestnet owned, great; if it's something that is another leading provider of financial planning software, that is great as well.
Chris Shutler: And then on the data analytics and research component of the cross-sell opportunity, could you just walk us through how you came up with the 200,000 per money manager and a 25% penetration rate and obviously this is maybe the biggest opportunity just based on the numbers that you provided, but I feel like investors probably need a little bit better feel for how you came up with those numbers, and maybe a couple of examples of how it's working today would help? Thanks.
Jud Bergman: So we found anchors at the low-end and anchors at the high-end. Today, Yodlee is successfully selling data analytics packages to large asset managers, in some cases for over $1 million a year per investment manager, so that’s one anchor point in terms of monetizable value. We expect that that’s probably going to come down at the very high-end, and so as we look at that, it was more a $800,000 outside our limit in terms of the annualized revenue potential, and what we’re already doing on the investment side more to the distribution side of asset managers is we will generate $50,000 to $60,000 for packages of data around advisor behavior. So today very limited offer on advisor behavior has been validated in the market price, that 50,000 to 65,000 at the low-end. Yodlee has validated price points at over $1 million at the high-end. So depending on whether it's a $2 million RIA or a $70 billion asset manager or even more, we expected looking at a share spend of that $200,000 per investment manager is a very reasonable potential opportunity. And we expect based on some very limited canvassing that there will be strong demand for this, it would build overtime. And so, the potential opportunity as we identify, it it's not going to be 100% of investment managers and it’s not going to be 50%, but we expect that overtime an achievable potential opportunity of 25% is achievable. Again what we identified is that while we looked at the potential of these different cross-sell opportunities in order to make this thing make sense financially, it's a fraction of that potential, I think I have made that clear Chris.
Pete D'Arrigo: And Chris what I would add is that we had some experience around this as Jud referenced, we've been selling data analytics solutions now for about two years and we don't break that component of our business out, but what we have shared is at the time of our IPO back in October of 2014 it had already scaled to over 10% of our business, and since then has been the fastest growing driver of our top-line. So, I think we've been surprised as to the demand and how fast the data analytics business has scaled.
Chris Shutler: Maybe to sneak one more quick one in guys. The fourth quarter run rate for Yodlee that you provided, the revenue and EBITDA, could you talk about how much of that is Yodlee's core business versus synergy? Thanks a lot.
Jud Bergman: So, we haven't broken that out, the synergy assumptions in there are fairly moderate. Particularly on the cost side, we do estimate that the run rate on cost synergies will be around 2 million. You know we're thinking that it's possible we do better than that, but we're not assuming that it's going to be that significant. Again, this is more about investing in the growth and reinvesting in the growth of these existing and new opportunities. So again, I think all we are saying now Anil if you'd like to elaborate.
Anil Arora: Again, pretty modest in terms of the revenue assumptions there.
Operator: And we'll take our next question from Chris Donohoe from Sandler O'Neill.
Chris Donohoe: Wanted to ask another one on the data analytics side as I'm trying to get my head around it, who should I think of as sort of your competitors in that space Anil, is it like sort of First Data and Spend Trend data or is it something Zimfunds or Morning Star is there anyone else you would point me to as kind of competing in that data analytics and selling into asset managers and other end-markets you're targeting?
Anil Arora: Yes, I think I would respond to your question in two ways. First is the data that we have today is very unique and very scaled in terms of providing holistic 360 transaction level view of tens of millions of customers and what they're doing in terms of their spending, their investments and what. And so I think we've created a very unique set of solutions and much of the opportunity if not all is Greenfields with us today. We have rarely run into competitive products with the experience we have today. I think the second part of the answer is that when you combine our data set and capabilities with Envestnet's data set and capabilities, all of a sudden we come up with even more interesting set of data analytic solutions which for proprietary reasons we won't get into the specifics of. But as Jud mentioned we've been socializing some of these with prospects and customers and I think that there is very significant potential for them.
Chris Donohoe: And then just thinking about the international and Anil again it is really for you. So you had the success of getting to 15% of your revenues at Yodlee from international, and I guess there is 15 countries. What I'm trying to figure out is how different non-U.S. markets are and I'm sitting here with a U.S. bias and I think of the banks, that U.S. consumers often have multiple relationships with multiple financial institutions. My perception is that in lot of overseas markets that's not the same but can you talk about how your sales process is either been different or similar when you go on the road outside the United States?
Anil Arora: Yes, that's a great question. I would have anticipated much like you some years ago that there were going to be structural differences between the countries and between our products and how we deploy them. What we have found instead over the last decade or so is that it is remarkably similar. And as a result we've been able to roll out essentially the same products and services that we have in North America now into all these other countries and it's again like data analytics, one of the fastest growing aspects of our business without a whole lot of investment. What we found in our benchmarking is large well established technology companies derive up to 50% of their revenues internationally. Some of the newer age tech companies like Salesforce up to 30%. We've been able to scale up to 15% very quickly with a very limited amount of people and resources so if you look at the products that we have today, again we have already as I mentioned earlier we've had prospects and customers approach us internationally right now. From multiple countries and say hi we're either live with your products or we're considering your products and we would love to be able to also capitalize on Envestnet's products and platforms and solutions. So I think there's a very real and significant opportunity. Jud you may want to add to that as well.
Jud Bergman: Well this is an important element of future growth that we really just dragged in behind the progress it was already made we have the multi currency capability with that core portfolio accounting engine it's deployed now in Canada and we also have a couple of Israeli firms that have made use of our wealth management technology. With most interesting to us is the UK, Australia and Singapore English speaking nations that could benefit from the core multi currency capability that our engine provides does not provide any language barriers for the software and all the renderings of the wealth management and we expect that there will be some fairly near-term adoption of some of our existing offers primarily performance measurement, performance analytics and some of the front-end analytic tools that we would be able to enter these markets faster than we would on our own and that the dynamics of the UK particularly since the regulatory changes around disclosure of fiduciary or advice standards versus brokerage or commission-based standards makes it a potentially very wide opportunity for us and a lot more similar used in differences on the wealth management side Chris.
Chris Donohoe: And can you just lastly on international opportunities I'll try I am not sure if you will answer but this year I think about that whatever the through 2020 penetration potential of 50 million is that mostly on the data analytics and research side with the minority coming on in the advisor or would you give us some sort of sense of what?
Anil Arora: We expect that will look very much like our current business unbound which would be data aggregation, personal financial management, simple financial planning software combined with wealth management solutions front-end, middle office and back office.
Operator: And will go now to Alex Kramm from UBS.
Alex Kramm: Just coming back to some of the things you've always talked about I guess the first opportunity I guess cross selling to your advisor base wondering and by the way I appreciate the color in terms of $500 on the low-end and 2,500 on the high-ends based on kind of like the advisor but that. Can you put those numbers in contact with the overall spend of the advisors today and how you see it advisor are going to see the use case of spending that extra money and really getting some value out of it and maybe you can tell us with any sort of color you have gotten from existing advisors that you've talked to now since you've announced this and how exciting those guys are and better they are?
Jud Bergman: So today without offering this capability the Envestnet platform generates if you just take the number of users divided by the revenue associated with the assets under management and administration the non-licensed portion it's around 11,000 per advisor per year for existing services so one context is $1,500 per year per advisor on top of 1,100 per year per advisor 11,000 per year per advisor it's around a 15% increase since that, that's one way of looking at it. Why would they do this? Well it's all about growth and practices it's all about productivity gains if you are an advisor that 8is not using unified technology and you are an advisor that is not using data aggregation with financial planning software and your practice now if it's like every other advisor has slowed to 1% to 2% in account growth year-over-year now at the end we mentioned the cyclical challenges right now so let's normalize for the cyclical challenges and the slowdown that's been industry wide. For the last six years that average advisor has grown accounts not assets accounts at between 4% and 5% per year. How valuable is it to an advisor to grow their practices at two times that way. How valuable it looks for an advisor to grow their profits at 2.5 times that way that's the investment decision that advisors are facing and usually it helps because it's financed impart by the home office the enterprise wouldn’t hold these advisors that wants to see growth in fee-based accounts over commissions and wants to see accelerated growth for wealth management solutions. So we think $1,500 per year is we can come up with that that's what is being paid in the marketplace today. And the opportunity is for an up sell or cross sell as we believe in the not too distant future the majority of advisors and all of the fast growing advisors will incorporate some level of data aggregation and financial planning into their practice.
Alex Kramm: Yes that's just fair I guess my -- just asking it differently and I don’t know if you want to add anything to it if I'm an advisor and I have made the decision of spending some more money and my spend could go up 15%, I am competing with other areas that I could spend on that, you need to make the case that this is going to enhance that growth versus other spending I could do, so I mean again and I am not sure if you want to add anything, but that’s just the question I guess I am having?
Jud Bergman: I think the case of productivity of growth two times what the advisors that doesn’t is a pretty compelling return on invested capital for the advisor. I guess that didn’t register in terms of the rationale.
Alex Kramm: And then there is secondly I think on the last call you host around the acquisition there were some questions around maybe channel conflict, maybe some of the Yodlee’s existing partners kind of wondering how investment as an owner could change things. Any update there, I know I think the top three customers of Yodlee is something like 25% of revenue. So just wondering if there is any concerns what do you see, any feedback on that end?
Anil Arora: Yes this is Anil. I think we mentioned on one of the calls that what really struck us is the overwhelming majority of our customers had come back to us with a very positive feedback around this idea because they know that it enhances what we do around what management and what financial institution and we haven’t heard back from 100% of our customers but what I can tell you is in the six weeks since the announcement the overwhelming feedback has been very positive.
Alex Kramm: And just to sneak one, quick one into a numbers question, I don’t know if you ever disclosed it, but for next year in terms of dilution I think like 3%-5% on an EPS basis is that a fair number to use or where are you coming off Pete?
Pete D'Arrigo: Originally we had estimated around 5% and we still think that that’s probably the range.
Operator: And we’ll take our next question from Patrick O'Shaughnessy from Raymond James.
Patrick O'Shaughnessy: So a question about your least competitive advantage, how durable is that competitive advantage relative to some of the other figures that are out there and I guess as a function of that how big of a head start does this give investment on some of the other competitors in investment space?
Jud Bergman: So I’ll take the first part of that question Patrick. From a competitive perspective, I think there are multiple dimensions of what creates advantage in the marketplace. First is obviously there is ability to gather data to direct connectivity. The second is scale, one of the things that you’ve seen over a 15 year timeframe is there have been many small competitors who have come in, but none of them, not a single one of them has been able to scale, scaling this kind of data gathering and doing it with quality and security is very-very difficult as the last 15 years have proven. So scaling operation is huge, security is huge, we have gone through in addition to regulatory audits, audits with most of our larger customers, enterprise customers and as a result has done hundreds of audits and then after implement best practices across the years. In addition to that we’ve got 72 issued patents as well. So when you take the combination of technology, operational scale, security, IT, your customer list together you have form a pretty formidable set of benefits for the customers.
Anil Arora: And I’ll just say in terms of the head start, we believe it's a head start, a head starts don’t last very long in a rapidly evolving a wealth management technology space. We’re looking to build on our leadership position to extend it and to enhance our reputation of delivering unified solutions that fortify the wealth management process strengthen the advisor experience. I will say that I noted that there is according the Q we’re going to have a hard stop at 827 because we want this to conclude by the time the market opens and that so we will continue to answer until that time, I think we have got about five minutes or so.
Operator: And we’ll go now to Pete Lowry from JMP Securities.
Pete Lowry: How do you think this digital wealth management space plays out between the leading global advisors like wealth fund, the big banks and brokerages, independent RIAs and Envestnet?
Jud Bergman: So the picture on Slide 7 is how we see it's going to play out. We believe that in the blue is the applications that are advisor facing that they need to run the business; in the green, are the functions and features that are then extendible, renderable out to the end investor. The advisor is going to be in the middle of this daily expert user of the technology and it renders the technology either in traditional ways, paper based face to face with the traditional client base, that's the grey haired individual on the middle, or it's rendered over a fully mobile technology or it's rendered via a chat over a desktop computer. We see that there's a convergence between traditional advice and between digital advice we've published a paper called Capital Sigma, The Advisor Advantage and the advisor advantage over a digital solution or an unmanaged solution, can be as much as 300 basis points per year, that's tremendous alpha for the end investor. I think we can thank global advisors for setting a market price for commoditized advice. Commoditized advice is you know basic asset class selection, basic portfolio construction. Low cost passive investments. But there is very little by way of systematic tax alpha, because primarily the useful ETF were fund driven and cash stock is something that is generated when the end investor owns the base systems’ underlying securities. We expect that financial planning and coaching together would play an increasingly important role and that's where the expert user, the expert operator, the financial expert aided by technology gains a real benefit. So we see that there's a -- it's why I mentioned the Garry Kasparov and the Deep Blue experience because that's been playing out for 20 some years and the best outcome is still in the hands of expert users aided by technology. We think that we're entering a golden age for advisors who embrace technology. Really that a number of the so called local advisors have already been sold and I think that that will continue. A number of firms have acquired them because they're going to integrate that as part of their overall offering. And we think that this may even accelerate. I don't know if that's what you had in mind in terms of an answer Peter or not, but we see that this is rapidly evolving. Rapidly transforming and the outcomes are better for advisors and their end clients.
Operator: And we'll now take a question from Shane Svenpladsen from Avondale Partners.
Shane Svenpladsen: Just a couple of quick ones, with respect to Yodlee's that top three clients, are there any key renewal dates coming up we should be aware of?
Jud Bergman: I think we mentioned this on the last call maybe during our earnings call, I apologize if I don't recall specifically but part of what we did Shane was prior to our IPO in October we took the majority of our major customers and made sure that we early renewed them. So that didn't cover a 100% of all our key customers but as part of our IPO rate show we discussed the conversion where we had renewed the vast majority of our major customers.
Shane Svenpladsen: And then just quickly, free cash flow run rate. Can we expect that to be kind of same range as the adjusted EBITDA run rate or how should we think about that?
Jud Bergman: Well, there will be again, free cash flow, if you're talking about taxes, you know we do expect that there'll be some limitations on utilization of the tax attributes, and there is some CapEx, that will be required across that but again we don't expect anything outside of what the historical run rates have been on those items. And we manage our businesses to try to optimize post tax free cash flow. And that's, we expect that a high yield of the EBITDA will translate to post tax free cash flow.
Jud Bergman: I think it's time for us to close. I want to thank you. I know there's a couple still in queue, but we need to wrap this up by 8:27. So thank you very much for your questions. Sorry to queue and to Jeff, hopefully we'll have the opportunity to talk today, I think we do, and we look forward to talking with you again in early November. Thank you.
Operator: And ladies and gentlemen, this does conclude today's conference and we do thank you for your participation.